Operator: Welcome to Century Casinos Q2 2016 Earnings Conference Call. This call will be recorded. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. I would like to introduce our host for today’s call, Mr. Peter Hoetzinger. Mr. Hoetzinger, you may begin.
Peter Hoetzinger: Good morning, everyone, and thank you for joining Century Casinos second quarter 2016 conference call. With me on the call are my Co-CEO, and the Chairman of Century Casinos, Erwin Haitzmann; and our Executive Vice President of Finance, Margaret Stapleton. Before we begin, we would like to remind you that we will be discussing forward-looking information, which involves a number of risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. The company undertakes no obligation to update or revise the forward-looking statements, whether as a result of new information, future events or otherwise. We provide a detailed discussion of the various risk factors in our SEC filings and encourage you to review these filings. In addition, throughout our call, we may refer to several non-GAAP financial measures, including but not limited to, adjusted EBITDA. Reconciliations of our non-GAAP performance and liquidity measures to the appropriate GAAP measures can be found in our news release and in the 10-Q filing from this morning, available in the Investor section of our website at cnty.com. We will now review the company’s financial results and following our prepared remarks, there will be an opportunity to ask questions. In a true like-for-like comparison which means eliminating the one-time payment we got from the Norwegian Cruise Line last year and looking at constant currency numbers, net operating revenue grew 6% and adjusted EBITDA increased by 5% over the same period of last year. This marked the seventh consecutive quarter of both revenue and adjusted EBITDA growth for our company. Our strongest segment Canada which provides 62% of our consolidated EBITDA saw a revenue increase of 4% but due to higher marketing cost and property taxes, it resulted in a small 3% decline in adjusted EBITDA. Our U.S. operations performed even stronger revenue up 7% and adjusted EBITDA up 16%. Overall, our U.S. casinos generated 22% of the company’s consolidated adjusted EBITDA. Also Poland had a very good quarter, revenue up 10%, adjusted EBITDA up 16% in local currency. Poland was responsible for 23% of our total adjusted EBITDA in the quarter. These solid results clearly reflect the underlying strength and stability of our geographically diverse portfolio of casino asset. Our balance sheet is in great shape and improved again. Net debt decreased from over $15 million a year ago to just $5.6 million now and that even includes $15.6 million related to long-term land and capital leases essentially down to Canada. Capital expenditures during the quarter were $2 million or 5.7% of revenue, that is little higher than normal because of renovations at the Edmonton Casino and gaming equipment for new ship casinos. Book value per share increased by 5% from $5.05 to $5.30. We will now have a closer look into each operating segments starting with Canada. The Century Casino & Hotel at Edmonton had a very good quarter on the gaming tables with revenues up 5%. Slot revenue however was down 3%. We are very happy with these numbers in light of the extensive renovation works on the slot floor and in the table VIP area. We are expanding the gaming floor substantially enhancing the high limit VIP area, creating a new bar and also extending the casino restaurant. The new design would be ready for the fourth quarter which traditionally has been the busiest for Edmonton. The new relocated 24 hour Poker Room has already opened and is performing very well. The EBITDA margin in Q2 at Edmonton was 37%. The performance of our Century Casino in Calgary was even better, revenue was up 13% and adjusted EBITDA increase by 48%. All the growth came from the gaming tables. The EBITDA margin at that casino was 23% for the quarter. The great success of our newest property to Century Downs, Racetrack and Casino north of Calgary continues. Revenue in April and May almost reached the level of the great opening month last year, June was even better than last year. Overall percentage on the gaming machines was slightly this quarter compared to last. All of that resulted in the small revenue decrease of 2% for the quarter. The EBITDA margin was 42%. This year we began live horse racing in February and it has experienced increasing customer volumes every weekend. We continue to push our royalty programs and signups into specifically targeted markets of North and Northwest Calgary, both of which do not have a casino. Our OPP network Century Bets! performed very well and generated 68% more in revenues compared to last year’s second quarter. As of June 30, Century Bets provided pari-mutuel wagering content and live video to 16 off-track betting parlors throughout Southern Alberta. In Colorado, the solid band of casinos continued. The economy and the consumer sentiment integrated in Denver and Colorado Springs metro areas continue to be strong. Coupled with our effective marketing programs, this led to continued revenue and EBITDA growth of 7% and 16% respectively. Those properties gained market share yield a year. Slots play was the main growth driver and F&B and hotel revenues were up nicely as well. In Cripple Creek, we plan to convert one of the non-casino buildings that we own into 30 room hotel as a $5 million that we’ll start construction next quarter. Our small existing 21 room hotel has an occupancy rate of about 90% and has won the 2015 Best of Cripple Creek award. It’s the only hotel in town offering direct online bookings on Expedia, Travelocity but there is the – booking TripAdvisor etcetera. Our property in Central City has been named Best Casino in Denver for the fifth time in a row and we are featuring the best casino title in all marketing activities and promotions. Over through Europe, our 66% owned subsidiaries Casinos Poland Limited. As reported previously, the Supreme Court ruled in early March that Casinos Poland must calculate, collect and pass on to the Polish tax authorities, personal income tax on all tips received by police by casino customers. Since then we have received the written ruling from the courts allowing us to analyze the issues raised in more detail. We are also in negotiations with the Polish Unions on sharing the impact. - issues, we expect changes to the payroll and withholding processes for Casinos Poland will be implemented in the third quarter of 2016. We anticipate payroll cost to increase by approximately PLN1.2 million to PLN1.3 million per quarter which currently equals between US$300,000 to US$340,000. To put that into perspective, in Q2 without EBIT, Casinos Poland generated PLN7.6 million EBITDA. Our Poland business is fundamentally very strong and in Q2, Casinos Poland had another good quarter. Slots play showed continued strong growth with coining at 49% and slot revenue up 38%. On the gaming tables, there was growth in money wager, the drop was up 5% at a much lower whole percentage compared to last year, resulted in a 10% decline in table game revenue. Overall Casinos Poland’s revenue was up 10%, adjusted EBITDA was up 16% and EBITDA margin increased to 15%. That concludes the presentation of operating results for the second quarter. Overall, we are quite pleased with our progress. All operating segments are in good shape, all have posted solid revenue growth and – potential for further improvement. Let me also mention that the third quarter started off really well for us. The month of July generated strong double-digit growth over July of last year and that’s US dollars. Besides posting good results, we’ve always been very active on the project development front during the quarter. We executed - and started to operate three more cruise ship casinos, one on the [indiscernible] with three cruises, one of the cruise ship discovery with Thomson Cruises and one on the ship Glory Sea of Diamond Cruises. Diamond Cruises is a subsidiary of the Chinese travel and tourism company Taihu International and we are excited to enter the Asian gaming markets with them in a very cost effective way. This casino caters almost exclusively to Chinese customers and certainly have the potential to grow our ship-based casino segment to a more meaningful size. And finally we are very excited about the definitive agreement we have entered into acquire the Apex Casino in St. Albert, Greater Edmonton. We will acquire this casino including land and buildings for a net purchase price of CAD27.9 million, it is about US$21.5 million in US dollars. Based on the casino’s most current results, this equates an efficient marketer of eight times adjusted EBITDA. The purchase is subject to regulatory approvals and our final due diligence, we expect closing in the fourth quarter. The casino operates 382 slot machines and - gaming tables, it also has as restaurant, a bar, a lounge, live entertainment stage and a banquet facility that it can accommodate up to 175 guests. St. Albert is the second largest city in the Edmonton capital region and Edmonton Northwestern city limit are directly adjacent to St. Albert. The Apex Casino is located off the Edmonton’s main ring road and is approximately 11 miles from our own Century Casino in – Edmonton. We do expect that the addition of Apex Casino will create operational - for our component and we can’t wait to integrate it into our portfolio of successful Canadian operations. All right. That’s the end of our presentation. I thank you for your attention and I think we can now start the question-and-answer session. Operator, go ahead please.
Operator: Ladies and gentlemen, we will conduct the question-and-answer session. [Operator Instructions]. Our first question comes from Robert Majek from CJS Securities. Please state your question.
Robert Majek: Good morning. As you are aware, last week Poland passed the Gambling Act that introduces a number of changes. What’s the potential impact on your business in that country for now?
Peter Hoetzinger : Erwin, would you like to come in?
Erwin Haitzmann: Sure. This is Erwin. First of all fortunately there are no changes to the gaming tax, so that is staying the same and the two main things that we see there is online casinos will be not only explicitly forbidden but it is expected that there will also be the execution of that new law. And therefore for a short time there will be no online gaming in Poland. However, the state will take over to one of its subsidiaries online casinos itself and will operate them on the round. Second change will be that slots arcade may be allowed but also to be operated exclusively to a state-owned subsidiary. We don’t know about the timing of that, we don’t think it will happen immediately but we’ll see. I think that are the main things that may potentially affect us.
Robert Majek: Thank you. I was hoping you could update us from the specific table game – percentage this quarter and the prior year period in each of your geographies.
Peter Hoetzinger: Erwin, you have those numbers ready?
Erwin Haitzmann : The question was, whether it changes in the whole percentage?
Robert Majek: Correct yeah. What was the – percentage this quarter and last year?
Erwin Haitzmann: Okay. In the Edmonton, well actually we don’t Robert disclose it on a property by property basis, we can get you the number, can we give it by segment?
Margaret Stapleton : We can calculate it by segment and put it in the presentation, sure.
Peter Hoetzinger: I can get you Robert those numbers by segment, but we don’t do it on property by property basis.
Robert Majek: Yeah, that would be helpful. And lastly from me, after acquiring the Apex Casino, you kind of discussed your acquisition strategy in Alberta and if there’s any other potential opportunities for you there on the horizon?
Peter Hoetzinger: This presents a great opportunity because we’re obviously very familiar with market and the regulatory environment in that province of Canada. And the location has been very beneficial for us because we already operate one casino in the north, this one is also in the north, little bit northwest and as you’ve heard the acquisition market is really, really great and we see potential synergy effect in the long run it should come down. There is an existing race track and casino called Northlands also in that part of the Greater Edmonton region between the Saint and… and they have announced that they will go out of casino business probably next year and that means we take acquisition of Apex Casino and our existing Edmonton casino we are pretty much West, Northeast, of Greater Edmonton area pretty much on the – which is fantastic. Now in terms of the broader acquisition strategy, any regulated market is of interest to us. We would like to move into operations that are of the size of the one that we - Apex was larger and there are lot of opportunities out there in North America as well as internationally.
Robert Majek: Okay. Thank you.
Operator: Our next question comes from the line of Mark Rosenkranz from Craig-Hallum. Go ahead and ask your question.
Mark Rosenkranz: Hey good morning everyone, thanks for taking my questions. Touching on the Apex just a little more, wondering if you could just kind of discuss how that deal came out I mean obviously know the - scenario well through your casino. Just wondering is that something that was presented in terms of the M&A strategy you guys are pursuing or discuss a little bit of how that deal came to be?
Peter Hoetzinger: We had expressed interest to the owner quite some time ago probably two years ago and then talked intensified and then we opened our Calgary race track and casino, April of last year. Yeah it was a long-term goal of ours to try and get a position in that casino and over the last two years, it developed in the full --.
Mark Rosenkranz: Okay, great. That’s helpful. And then switching gears you previously talked about entering the Southeast Asia market, is that what you were referring to the announcement of the cruise ship line or is there any other type of properties on the mainline you’d be looking at there?
Peter Hoetzinger: Yeah we are also looking at other properties and then this cruise ship casino deal appeared on the radar screen, we are very happy to for this opportunity because first of all we are the leader in the cruise ship operations internationally. So that’s really a business we are very good at that we’re knowing -- for a very long time and move - step up in a completely new market like China is for us, it’s a very good thing because it eliminates certain unknown sense of – and it’s also very cost effective because we don’t have to build any infrastructure and buildings. But having said that, yes we are still looking at other mid-size properties, land – it’s taking a while because we will only move ahead if we find the right lucky partner that we are totally comfortable with then as long as it’s not the case, then we’re not making a move.
Mark Rosenkranz: Okay, great. Thanks for taking my question. Congrats on this quarter.
Peter Hoetzinger: Thanks, Mark.
Operator: Our next question comes from the line of Robert Nelsey[ph] from Singular Research. Please state your question
Unidentified Analyst: Hello Peter and Erwin, thank you for taking my questions. Question number one, it looks like year-over-year for the quarter you’ve experienced a 7% revenue decline. How would you describe that performance as the causation, it was a tough comp, combination of some difficulties, some of the specific operations say Poland, or Canada, what will be your best description of that?
Peter Hoetzinger: It is the strong dollar, because if you take out the currency and the one-time payment that was received last year from the cruise line, then our revenue actually grew 6%. So that’s a true like for like comparison.
Unidentified Analyst: Okay, thank you. Regarding the food hotel…
Peter Hoetzinger: I’m losing you Robert. Operator, I can’t hear Robert anymore.
Operator: I have disconnected him from the queue, his line had some issues. Robert if you’d like to queue up one more time for your question, you can do so now by pressing star 1. And there are no other questions.
Peter Hoetzinger: All right. Then I thank everybody for their interest in Century Casinos and your participation in the call. For a recording of the call, please visit the financial results section of our website at cnty.com. Goodbye.
Operator: This concludes today’s conference call. Thank you for attending.